Operator: Good day, and thank you for standing by. Welcome to the GrafTech First Quarter 2021 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today. Wendy Watson, you may begin.
Wendy Watson: Good morning, and welcome to GrafTech International’s first quarter 2021 conference call. On with me today is Dave Rintoul, GrafTech's Chief Executive Officer; Quinn Coburn, Chief Financial Officer; and Jeremy Halford, Senior Vice President, Operations and Development. Dave will begin with a review of our safety performance, current industry conditions and our demand and production levels. Jeremy will discuss operational matters and give an update on our ESG initiatives. Quinn will cover financial details and Dave will close with final remarks. Turning to our first slide. As a reminder, some of the matters discussed on this call may include forward-looking statements regarding, among other things, results, performance, trends and strategies. These statements are based on current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from those indicated by forward-looking statements are shown here. We will also discuss certain non-GAAP financial measures and these slides include the relevant non-GAAP reconciliations. You can find these slides in the Investor Relations section of our website at www.graftech.com. A replay of the call will be available on our website. I'll now turn the call over to Dave.
David Rintoul: Thank you, Wendy. And my apologies everyone. Good morning, everyone, and thank you for joining our first quarter earnings call. I hope you, your families and your colleagues are all well. We begin, as we always do, with safety. As shown on Slide 3, our first quarter total recordable injury rate is 0.58, indicating our continuous focus on the safety of each and every team member. Health and safety excellence is a core value at GrafTech. Our ultimate goal is zero injuries with every employee going home safely everyday. Our team continues to be diligent and thorough in our COVID-19 controls and protocols. We have also included on this slide the graphic we use internally to indicate our constant focus on SEQ: safety, environment, quality. SEQ was a core mission for the GrafTech organization. I'm very proud of the GrafTech team and personally thank each of you for your continued focus and vigilance. Safety, environment, quality. Now turning to Slide 4. We continue to see improvement in both pricing and capacity utilization rates in the global steel markets during the first quarter. Steel industry pricing continues to increase with most types of steel at or near all-time highs. U.S. hot-rolled coil values are currently at approximately $1,500 a ton and hot-rolled coil prices in both the U.S. and Europe were up about 35% over the course of the first quarter. The global steel manufacturing utilization rate outside of China was 73% in the first quarter of 2021 compared to 72% in the fourth quarter of 2020. The U.S. steel industry utilization rate improved to 77% in the first quarter from 72% in the fourth quarter of 2020. Global steel production outside of China was approximately 216 million tons in the first quarter of 2021 compared to approximately 210 million tons in the fourth quarter of 2020 according to the World Steel Association. In our last earnings call, I pointed out that we expected graphite electrode pricing to bottom out early in 2021, and the demand for graphite electrodes was beginning to rebound. Our commercial experience today validates the recovery of graphite electrode demand and pricing, and provides us with conviction on our outlook for the second half of 2021. Graphite electrode spot prices are increasing off those trough levels, and we will realize those increases in our second half 2021 results. As a reminder, our industry lags demand recovery in the steel industry due to our position in the steel producer supply chain. As the steel industry's capacity utilization improves, we first see increasing demand for graphite electrodes, which is then followed by higher pricing for our products. Each of these movements in the graphite electrode supply chain is at a lag to the steel producers increasing demand. As we move through the dynamics of this lag, we remain confident that the improvement in our reported non-LTA pricing will be realized in the second half of 2021, and has us well positioned for continued improvement into 2022. Turning to Slide 5. As I mentioned, we are seeing increased demand for our products and our commercial team remains focused on providing superior services and solutions to our valued customers in this improving environment. Our estimates for graphite electrodes sales volumes under our LTAs have not changed. Turning to Slide 6. We are pleased with the year-over-year improvement we saw in our first quarter sales volumes and productions, both up 9% over first quarter of 2020. We shipped 37,000 metric tons and we produced 36,000 metric tons of graphite electrodes. Breaking down our first quarter shipments, we sold 26,000 metric tons of graphite electrodes under our long-term agreements at an average price of approximately $9,500 per ton and 11,000 tons of non-LTA sales at an average price of approximately $4,200 per ton. Net sales in the first quarter were $304 million. As a reminder, the first quarter is generally the seasonal low of the year. Now, as we focus on responding to the improving market demand, I would like to welcome Jeremy to the call who will discuss various operating items and our ESG effort. Jeremy?
Jeremy Halford: Thanks, Dave, and good morning, everyone. In the first quarter, we maintained our strong delivery performance record, shipping 37,000 metric tons to our customers with excellent on-time performance of 95%. This level of execution helps to further strengthen our customer relationships and differentiates GrafTech from our competitors. We are continuing to prioritize operational initiatives that are focused on improving efficiencies in our manufacturing facilities and we are staffing appropriately to meet increasing demand for our graphite electrodes. So then turning to Slide 7. Our ESG efforts get seamlessly with our focus on safety, environment and quality, as Dave described. Our ESG steering committee comprised of several members of our Executive Team, including me, Dave and Quinn oversees our sustainability strategy. During the first quarter, we undertook several initiatives related to our ESG strategy. We launched the process for our second annual sustainability report, which we plan to publish later this year and are currently undergoing a rigorous materiality assessment, which will help us to continue to refine and further improve our ESG efforts. Additionally, we continue to strive to be good corporate citizens, supporting our communities and organizations wherever possible. During the quarter, we work with a local community organization in the area of our operations in Monterrey, Mexico to distribute grocery packages and cloth face masks to local families. Additionally, our Pamplona, Spain facility was ISO 14001 certified in the first quarter, and we continue to upgrade our manufacturing facilities to improve our environmental footprint. We look forward to continuing our ESG dialogue and sharing our progress with you. Now, let me turn it over to Quinn who will discuss our first quarter financial results on Slide 8.
Quinn Coburn: Thanks, Jeremy. We were very pleased with our first quarter results. We earned $0.37 of EPS, $155 million of adjusted EBITDA and generated $108 million of free cash flow in the first quarter. We continue to achieve strong free cash flow conversion with 70% of first quarter’s adjusted EBITDA converted to free cash flow. Turning to Slide 9. We continued to strengthen our capital structure in the first quarter. We reduced our debt by an additional $150 million and entered into an amendment to our credit facility to reprice our term loan interest rate. In connection with this debt reduction and credit facility repricing, Moody's upgraded our corporate credit rating to be A3 and Standard & Poor's raised the issue-level rating on our debt to BB. As a result of these transactions and upgrades, we successfully reduced our interest rate by 100 basis points annually. These actions support our continued commitment to ensure balance sheet strength and flexibility. At the end of the first quarter, our total liquidity was approximately $342 million, consisting of $96 million of cash and $246 million available under our revolving credit facility. Now turning to Slide 10. With strong earnings and cash flow we delivered in the first quarter, reinforces our expectation that 2021 will be another year of significant cash flow generation. Consistent with our actions in the first quarter, we plan to use the majority of that cash flow to further reduce debt. Our focus on the balance sheet and maintaining a strong capital structure provides us with significant financial, operational and strategic flexibility, which is particularly important as we positioned the company to capitalize on improvements in the market. We are maintaining our full-year 2021 capital expenditure outlook of $55 million to $65 million. We will use these funds to support our high-quality, low-cost global operating assets and to target high-return operational improvements. In late February, we provided an outlook on our first half 2021 earnings per share and adjusted EBITDA. Based on the strength of our first quarter results, our first half 2021 earnings per share and adjusted EBITDA expectations have improved on a year-over-year basis to a mid single-digit decline compared to the first half of 2020. This compares to our prior estimate for a high single-digit decline. Please note that these estimates do not include any possible change in control charges that could be triggered if and when the ownership of our largest shareholder Brookfield actually falls below 30%. Brookfield currently owns approximately 37% of our shares. These charges could include a one-time cash charge to the company of $65 million to $75 million related to our long-term incentive plan as we have previously disclosed in our SEC filings, and a one-time non-cash charge to the company of approximately $15 million related to the acceleration of certain previously granted equity awards. Now I'll hand it back to Dave on Slide 11.
David Rintoul: Thanks, Quinn. I will wrap up with some comments on our favorable positioning in the market. GrafTech is one of the largest producers of ultra-high power graphite electrodes in the world, operating three of the largest global facilities. GrafTech electrodes are a mission-critical component to the EAF steel industry, and there is no substitute for our product. Our customers are the lowest-cost producers of steel and are some of the largest recyclers in the world, producing steel with 25% of the carbon emissions of traditional integrated steel producers. We expect the EAF steel industry growth to continue to outpace the global GDP over the long-term, positioning our products for solid long-term growth. We are pleased to see that the recovery and strength of the steel industry is beginning to have a positive impact upon our business. And as we highlighted earlier, we expect to begin to benefit from those favorable trends in the second half of this year. We have a sustainable and long-term competitive advantage from our low-cost structure and vertical integration into our key raw material petroleum needle coke. Our graphite electrodes are highly engineered and require extensive process knowledge to manufacture. These services and solutions that GrafTech provides help position both our customers and our company for a better future. Our balance sheet commitment and proven track record of high-quality earnings and significant cash flow generation give us the strength to successfully manage through industry cycles. With commitment of our people and our significant competitive advantages, we continue to strongly believe GrafTech is well positioned today and over the long-term. This concludes our prepared remarks, so we'll now open the call up for questions.
Operator: [Operator Instructions] We have our first question from the line of Curt Woodworth.
Curtis Woodworth: Yes. Hey. Good morning, everyone.
David Rintoul: Hey, Curt.
Quinn Coburn: Good morning, Curt.
Curtis Woodworth: Dave, I wonder if you could – I know you're always reluctant to talk about sort of spot price dynamics between needle coke and UHP. But it seems like our channel checks relative to the $4,200 you booked this quarter for non-LTA is now moving significantly above that closer to $6,000 or even higher. And we understand the needle coke market is tightening a little bit as well with some of the EV pull. So just any color you can kind of give on how you see supply demand? If you can give any kind of reference points on pricing that would be appreciated.
David Rintoul: Sure, we can do that. So I think just to kind of set the stage a little bit. On the last earnings call, you'll recall, Curt, that I referenced that we thought that pricing would bottom out somewhere in the first quarter and that we were seeing the beginnings of a demand pickup. And that projection turned out to be correct. And having said that, please remember that the lags that I spoke to so, steel starts to see more demand. They started making more tons. Once they started making more tons, they begin to chew into their electrode inventory. I remember, we went into the COVID pandemic with a high electrode inventory that we spoke about almost a year and a half ago. I also commented in earnings call that we expected by the end of Q1 that – because of the improved demand that electrode inventory would begin to normalize, it has done that. And we exited Q1 with the graphite electrode and our customer base normalized. So that meant at that point in time that people were now imbalanced and using their – needing to purchase electrodes consistent with their production cycles. So as that occurs, our demand improved, and we acknowledge that. And as in any market product, shortly after demand begins to pick up, you start to see price falling at some point. All of this has happened quite as we expected. And remember that when you buy an electrode in early Q2, it's not going to get delivered until early Q3. It's a three-month process thereabouts to make an electrode. So the fact that we bottomed out in Q1 or during Q1 on pricing is reflected about what you're going to see. And our performance in the second quarter, as we acknowledged, the second half being better with pricing. The realized pricing that hits the P&L beginning to see the increase in the third and then subsequently fourth quarter. So with that in mind, it explains why we're talking about Q2 and obviously provides an indication as to why we're still talking about mid single-digit EBITDA changes from the first half of last year and we provided that guidance back earlier in the first quarter. So with respect to exact numbers, obviously we had – and now that we had $4,200 in the first quarter, which was the guidance we also provided at that time. I think from what I'm describing, you should be able to think about what the second quarter is going to bring and then from there an improvement in the third and fourth quarter. In terms of needle coke, yes, we see that because there's an improvement in the overall electrode and steel world that there will be positive influences there. And we expected to have commensurate impacts on the pricing of needle coke. I think we've spoken in the past the numbers in the $1,300 to $1,800 range in the last earnings call. And I would suggest that we would anticipate that we'll start to see things more on the top-end of that range. And we have procured the needle coke we need for this year and we'll soon be thinking about 2022 as we expect that the market for our products will continue to improve and think we're going to have a good second half as well as into 2022. Hopefully that assists you and provide some insight, Curt.
Curtis Woodworth: Yes. That's helpful. And then I guess with respect to the non-LTA book, when we look across a lot of it, your competitors that are – they seem to be running at relatively high utilization rates. So it does seem like market is definitely getting tight. Can you provide any sort of guidance on how we should think about spot volume progression or the cadence of that volume trend over the back half of the year? Thank you.
David Rintoul: Sure. Out in the market, obviously GrafTech has the advantage of a sizeable part of its order book secured through the LTA process. And therefore, we're not selling as many spot tons as most of our competitors. But I think your view is reasonable. Although I will tell you that – we know that some of our competitors are still working hard to fill their – some of the specific plants, and it would be inappropriate for me to name those plants. But I'll go so far as to say that they're competing hard to fill some of those plants at numbers that are not in the [indiscernible] you suggested in the first part of your call. Yes, so that's probably where I should stop. So I don't get myself in trouble with our general counsel.
Curtis Woodworth: Okay. All right. Thank you.
David Rintoul: They're working hard. They are starting to fill their plants, but based upon their actions, they're not quite there yet. I think we're in a much better place that’s allowing us to behave in a way that's a little more beneficial to our shareholders.
Curtis Woodworth: Understood. Thank you.
Operator: Your next question comes from the line of Arun Viswanathan.
Arun Viswanathan: Great. Thanks for taking my question. Good morning.
David Rintoul: Good morning, Arun.
Arun Viswanathan: Yes. I guess, just going back to the last set of questions. So first off, it looks like your average price was around $8,200 and that was made up of the $4,200 on spot. And I think – I don’t know, I think you said $9,500 on contracts. So maybe you can just reiterate what you said on the LTAs as an average price. And then – so you do see that trending up. I guess, what's the cadence we should expect there? I mean, there's been a lot of cost pressure in the market that we're seeing. Does that have any impact on pricing? Or is it mainly supply, demand-driven? And do you have any escalators within your contracts to deal with some of that inflation? That's my first question, I guess.
David Rintoul: So let me begin by asking Quinn to validate the pricing and numbers that were in the release.
Quinn Coburn: Sure. Thanks, Dave. Sure, Arun, just to reiterate, the LTA price we realized in the first quarter was $9,500 and the non-LTA price we realized in the first quarter was $4,200, and 26,000 tons were sold under LTA and 11,000 tons were sold under non-LTA. And then if you do the averages of that, then that's approximately 7,900 per metric ton as a weighted average price of those two of the LTA and the non-LTA. And then maybe while I’m – given some color – I can give some color on your cost question. As you mentioned, there are some pressures on cost. We had a decrease in costs in our Q1 results relative to our Q4 results. It's about a $400 decrease relative to Q4 and about a $300 decrease relative to the full-year. The pressures that we're seeing on costs would be freight costs, but that's kind of pressure we see globally. We have two plants in Europe. The Euro is a little bit stronger. It's about 7% stronger than 2019, early 2020. So with our two of our three plants in Europe, we feel some pressure there. But generally speaking, Arun, what I would say going forward is that I would expect the Q2 costs to be similar to Q1. In the back half of the year, we might have a little more pressure with the rising third-party needle coke. We'll try to manage that and we'll manage that very proactively. So generally speaking, I would see Q2 being similar, probably the back half being similar with maybe a little bit of pressure upwards from a third-party needle coke.
Arun Viswanathan: Great. Thanks for that. And then maybe you can also just reiterate your priorities on cash used from here. Obviously you've done some deleveraging. Is there any interest or potential for reinstating a larger dividend? Or would you opt for buybacks as you go through the year? Thanks.
Quinn Coburn: Yes. Thanks, Arun. Yes. As we noted on our last conference call and also in our remarks today, we will continue to focus and prioritize the majority of our cash flow this year or debt reduction, as I've mentioned before. Absolutely, we monitor our capital allocation strategy very closely. We discuss with management every quarter. We discuss with the Board of Directors every quarter. And we'll continue to monitor that for the future in terms of shifting that a little bit more towards returning capital to shareholders. But for this year, we've indicated that majority of our cash flow will be to reduce debt.
Arun Viswanathan: Thanks.
Operator: Your next question comes from the line of David Gagliano.
David Gagliano: Thanks for taking my question. I just wanted to ask a little bit about the – just the change of control provision you mentioned with Brookfield. I think you said below 30% and there are payments made by GrafTech to Brookfield. Is that correct?
David Rintoul: No. You've got the first part of it, correct. The change in control – change of control language kicks in when Brookfield moves below 30%, and there is a LTIP plan that covers a few of the employees or a number of the employees that were in place at the time that Brookfield purchased GrafTech as a retention mechanism. Those payments get made directly to those employees, not to Brookfield.
David Gagliano: I'm sorry, those payments get made directly to – and I’m still confused. They get paid to the GrafTech management?
David Rintoul: Yes. They get paid to members of GrafTech management that were in place at the time of the bio back in 2015.
David Gagliano: Okay. That's what I thought. And then – so then related to that question with – are there any other triggers or anything else that we should think about? Or do those payments just automatically happen, right, when it goes below that 30% threshold?
David Rintoul: More or less, there's a slight 30-day delay. But for all intents and purpose, it's a media. Now, we’ve given them preferences – David to be in the spirit of full transparency, we also commented and it was in Quinn's comments during the prepared remarks. There's also some restrictive, some stock and some options that gets accelerated to the tune of – net worth of just over $15 million, but that's not cash payment, that's a non-cash item.
David Gagliano: Okay. Understood. And then just the last part of – are there any retention requirements or those people that receive those payments free to take the money and leave on day one theoretically?
David Rintoul: There are no retention requirements. The intent of those payments was to see them through to this point. But I would share with you that GrafTech has a solid succession planning program and there is no worries about whatever people elect to do.
David Gagliano: Okay. Appreciate the clarity. Thanks.
Operator: Your next question comes from the line of Alex Hacking.
Alexander Hacking: Yes. Good morning. I just wanted to follow-up on the volume side. I mean, firstly, Dave, I just wanted to clarify that you said that you believe customer inventory was now fully normalized. Did I hear that correctly?
David Rintoul: Yes.
Alexander Hacking: Okay. Thanks. And then in terms of – not talk about this year, but more sort of structurally. I mean, what do you think is a normalized sales volume for GrafTech? And just for context, back in 2018 or beginning of 2019, you're selling about 45,000 tons a quarter. But subsequent to that, it turned out that customers had overstocked, right, which suggests that number maybe too high to think about as sort of a normalized shipment number. So any comments that you would have around that would be helpful. Thanks.
David Rintoul: Sure, Alex. Thanks for your question and interest in our firm. So you're in a way asking me to try and obviously to predict the future and to some extent provide guidance, which I won't provide direct guidance. But what I would point out to you is that during this same period, there's been growth of the electric arc furnace industry globally. And if you think just specifically to the United States, SDI is going to bring their furnace online in a number of months. I believe that North Star Bluescope will as well. And I think if you look at the numbers over the next 12 months to maximum 18 months, there's about 14 million tons of additional capacity coming online just in the United States. Then in addition to that, some of the areas that had been lagging, South America seems to be, particularly Brazil, despite the COVID difficulties coming along nicely. So our previous numbers that you talked about certainly do not frighten me. And I think that there's no reason that we can't get back to those kinds of values going forward now. The exact timing of that depends upon, obviously, steel recovery still being strong as it is, et cetera. But I'm not frightened by any prospects to get back to the values that we were at.
Alexander Hacking: Okay. Thanks.
David Rintoul: Look, I think we're going to – I think things are in our favor, heck the steel guys are selling a $1,500 a ton of margins that they never dreamed off [indiscernible]. So why shouldn't some of that trickle down to the graphite electrode boys.
Alexander Hacking: I hope so. And then thanks for the color. And then just one other question, I don't know how much you can comment on this. But are you seeing any – with the market coming back, are you seeing any pressure from electrodes coming out of China or in any of your markets? Or as – because there was a period of time where exports out of China was starting to emerge when prices were a lot higher than they were today. Are you seeing any of that? And any color that would also be appreciated. Thanks.
David Rintoul: Sure. I mean the Chinese were in the market before, and admittedly a lot of that presence was in ladle electrodes. They have made some progress in the UHP space. The quality still is not for the most part as good as ours. But I think it's a natural evolution for them. So I wouldn't – they are a factor that we need to be cognizant off and also remain optimistic because we still believe quite – and I think the facts support us is that with the commitment of the Chinese government to the environment, that they're going to grow their electric arc furnace industry and easily get 200 million tons by 2025. And the evidence is there. They're on that trajectory. And we're encouraged by some of the recent moves, including allowing scrap imports. That along with their environmental news tells us that they're on that trajectory, if not more and that trajectory is going to require graphite electrodes. So I think there will be some moderating effect by the domestic improvements within China. But as I said, we have to be cognizant of China as being a competitor and we will continue to do so.
Alexander Hacking: Great. Thanks a lot.
Operator: This concludes our question-and-answer session. I will now hand the call back over to Mr. Rintoul for closing comments.
David Rintoul: Well, thank you very much, everyone. I'd like to take this opportunity to wish everyone on this call health and safety in the coming months. Thank you for your interest in GrafTech, and we look forward to speaking with you next quarter. Thank you, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.